Operator: Good day and welcome to the Fiverr Second Quarter Fiscal 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jinjin Qian. Please go ahead.
Jinjin Qian: Thank you, Operator, and good morning ladies and gentlemen. Thank you for joining us on Fiverr's earnings conference call for the second quarter ended June 30, 2020. Please note that this call is being webcast on the Investor Relations section of the company’s website. Full details of our results and additional management commentary are available in our shareholder letter which can be found on the Investor Relations section of our website at investors.fiverr.com. Joining me on the call today are Micha Kaufman, Founder and CEO; and Ofer Katz, CFO. Before we start, I would like to remind you that certain matters discussed today are forward-looking statements that are subject to risks and uncertainties relating to future events and/or the future financial performance of Fiverr. Actual results could differ materially from those anticipated in these forward-looking statements. Additional information that could cause actual results to differ from forward-looking statements can be found in Fiverr’s periodic public filings with the U.S. Securities and Exchange Commission, including those factors discussed under the “Risk Factors” section in Fiverr’s 20-F filed with the SEC. The forward-looking statements in this conference call are based on the current expectations as of today, and Fiverr assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I will turn the call over to Micha.
Micha Kaufman: Good morning everyone and thanks for joining us on the call today. We hope that you are all keeping safe and healthy. The past few months have been one of the most productive and rewarding times in our company’s history. The strategies that we have put in place and our strong execution during the global pandemic is what has allowed us to achieve such an outstanding quarterly performance, with revenue growing 82% year over year to reach $47.1 million. This is the strongest quarterly growth we have had since 2012, and over $10 million or nearly 30% above the top end of our guidance. With this stronger than anticipated top-line growth, we also achieved EBITDA profitability two years ahead of our expectation at the IPO, and many quarters ahead of our expectations as communicated just a few months ago. While it is incredibly satisfying to see our business accelerate, it is equally rewarding to know that our success is a direct result of the success of our community. More and more businesses are transforming to digital-first using Fiverr, and more and more freelancers are provided with opportunities to generate income. It is an incredible privilege to be able to be there for our community in these challenging times. During the second quarter, inclusion and diversity were brought to the forefront of discussions worldwide. At Fiverr, age, gender, ethnicity, or disabilities do not play a role in determining your success. You are judged only on the quality of your work. We take special pride in being one of the most inclusive and diverse communities online. We live by these principals 365 days a year and we are proud of the positive social impact our business is making on the lives of so many. The outstanding Q2 results benefited from several strategies we have put in place. We stepped up the localization efforts at the beginning of the year, and since then have launched five non-English speaking websites and started to ramp local PR and performance marketing investments. We also streamlined internal operations on supply management in terms of catalog expansion, seller onboarding, as well as quality management. These investments turned out to be timely when Covid-19 hit, as we were able to respond to the global trends in remote work and digital transformation much more effectively. These efforts also resulted in a significant increase in brand searches, Fiverr’s share of voice and strong uplift in Fiverr’s brand awareness, which led to an 80% year over year increase in overall organic traffic. When COVID-19 hit, we quickly responded in several ways. We leaned in on performance marketing opportunities, investing more dollars with better tROI and marketing efficiency, and acquiring higher lifetime value buyers. Strong trends of both organic and paid channels resulted in a record level of net adds of active buyers on our marketplace. We’ve also seen existing cohorts spending more during the past few months. On average, existing cohorts grew monthly GMV levels by 10% from January to June this year, and we expect the elevated spend level to continue into the third quarter. We are super happy with our Q2 execution and I am incredibly proud of our team for their focus, dedication and amazing creativity. That said, I am even more excited about what’s ahead of us. The inflection point on the adoption of remote work - which many of you have asked us about in the past - is within sight. The awareness, openness, and emphasis on remote work and digital transformation has taken a multi-year leap for the entire business community. And for us, what will Fiverr look like 5 years down the road - another question we often hear - is now clearer than ever. There are three key components when we envision taking Fiverr to the next level. First, a path to going upmarket for both supply and demand on our marketplace. On the buyer side, not only is Fiverr relevant for entrepreneurs, individual contributors and office heroes, but we will become a working hub for teams inside companies and businesses to collaborate with external resources, integrated into their day-to-day workflows. On the seller side, not only is Fiverr an important channel for freelancers and individual talent, but we will also become partners and distribution channels for agencies, consultancies and other service providers. With this in mind, we launched Fiverr Business in Beta - a dedicated environment for businesses and teams to transact and collaborate on Fiverr. This is going to be a long-term investment for us and we are just at the very beginning. We also acquired a boutique digital marketing agency recently, and with that, onboarded Ms. Sharon Lee, to help us drive the agency upmarket initiatives on the supply side. Not only is Sharon a domain expert in our target agency market, she is also a heavy Fiverr user and an avid Fiverr community leader. Many of you may have seen her picture on our NYC marketing campaigns last year. Second, we are building a global brand with a global footprint, global share of voice and a global business. Our investments in localization and into non-English websites have proved to be very timely. It is more apparent than ever that the need for remote work and digital transformation is global and that the potential market outside of English speaking countries is huge. We believe international expansion will continue to be a key strategy for Fiverr going forward. Third, we are building Fiverr not only as a transaction platform, but an ecosystem for businesses and freelancers to grow and thrive. You’ve seen us launch Fiverr Learn, an e-learning module on Fiverr; You’ve seen us acquire and expand and.co, a back-office tool for freelancers to manage their contracting and invoicing; You’ve seen us introduce Promoted Gigs, an advertising tool that allows sellers to step up their marketing; and, you’ve also seen us integrate collaboration tools such as Zoom into our marketplace. We are also building financial tools to help freelancers get early payouts on their earnings. These are just a few examples of value-added services that we’ve started to work on and there are many more in the pipeline. While the development of COVID-19 and the global macro conditions remain highly uncertain, the data we have seen on our marketplace across cohorts, verticals, and geographies over the past few months indicate that the elevated spending trends on digital transformation are going to stay for months, if not for years.  What has also become clearer over the past few months is that the global pandemic has fundamentally changed how businesses reach their customers and how work takes place, and these changes will last far beyond the pandemic itself. We have built our business from day one to promote remote work, to enable digital transformation, and to create a leveled playing field for every talent - and these opportunities have been pushed forward and are now more relevant than ever. We believe we are well-positioned to take advantage of these opportunities with our vision, strategy, and strong execution ability. And now, with becoming profitable, also more resources to put in place to drive towards these opportunities.  On that note, I’m going to turn it over to Ofer who will share a few Q2 highlights as well as some color for the rest of this year. Ofer?
Ofer Katz: Thank you Micha and good morning everyone. The past few months have been very exciting for our business. In Q2, revenue grew 82% year over year to $47.1 million. The revenue growth is the strongest we have ever seen since 2012. We benefited from the global trends towards remote work and digital transformation, but more importantly, the strategies that we put in place and the strong execution of those strategies is what allowed us to capitalize on the tailwinds. During the quarter, active buyers achieved a record level of net adds, reaching a total of 2.8 million, driven by strong trends on both organic and paid channels, as Micha highlighted earlier. tROI for the quarter was slightly above 1.0x, an improvement from Q1. We were able to remain highly efficient in our use of marketing dollars and at the same time expanding our sales and marketing expenses by about $5 million from Q1. Spend per buyer was $184, an increase of 18% year over year, driven by both new and existing cohorts. As businesses accelerated their pace in investing in digital transformation, we have seen older cohorts grow their monthly GMV level on average by 10% since the beginning of the year. We expect their spend to remain at this elevated level going forward. On the other hand, we continue to expand the lifetime value of our new cohorts as we target buyers with bigger budgets and bigger businesses. Take rate for Q2 was 27%, improving 60 basis points year over year, driven by an increased revenue mix from value-added services such as Fiverr Learn, And.Co and ClearVoice. When compared sequentially with Q1, take rate was down modestly by 10 basis points. This is mainly due to the exceptional growth of our core marketplace compared to these value-added services. Note that the core marketplace take rate remains stable at 25%, and our fee structure for buyers and sellers continues to be uniform across transaction size, geography and categories. As the mix of core vs. noncore services on our platform fluctuates, the blended take rate may also modestly fluctuate. We continued our global expansion efforts - non-English speaking markets continued to increase contribution to our marketplace, led by Germany, Austria and France with three digit growth rates during the quarter. We’ve also seen strong trends across all verticals, led by Programming & Tech with three-digit growth rate driven by strength around e-commerce and website development. We are also pleased to see our existing cohorts expand their spend level over the past few months as they turn to our marketplace when they need digitizing their business, and more services through remote arrangement. This speaks to the strength and loyalty of our cohort base. Not only does it generate a consistent stream of revenue for a very long time, but it also has the potential to grow with the overall market trends. We achieved an important milestone in reaching EBITDA profitability in Q2, significantly ahead of our expectations. Q2 EBITDA was $3.1 million, representing EBITDA margin of 6.7%. While we believe we will remain profitable at this revenue level, our priority continues to be driving revenue growth. Therefore, we intend to continue to invest in our product development roadmap and marketing initiatives, and by being profitable, we can make those investments on a more aggressive timeline. During the quarter, we became more aggressive in buyer acquisition as we saw attractive opportunities in performance marketing - not only did we invest more, we were able to do so with better efficiency. We noticed that the investments we made in localization was timely, and the pandemic was driving countries around the world to come to Fiverr, so we doubled down during the quarter, accelerating the pace of opening new countries and adding Italy and Netherlands to our portfolio. We also saw a surging amount of sellers coming to our platform as we became one of their primary sources of income - that included individual freelancers as well as boutique agencies. As a result, we decided to push forward the agency investments on our roadmap, made a strategic acquisition, and began building out a dedicated team and a concrete roadmap for the agency initiatives. These are just a few examples, and we have many more in the pipeline but they are too early to talk about at this point. All of these efforts took place in just a short few months as our business accelerated from a 40-percent grower to an 80-percent grower and reached profitability, and as we saw the fundamental changes that COVID-19 has brought to the overall business community. The speed of which we are responding to the change of our business profile and to the inflection point of our industry, speaks to the clear vision and strong execution ability of our company. As we said many times before, the majority of our growth is still ahead of us, and we will continue to invest our incremental dollars into product and marketing to drive growth of the business. Looking forward, while the long-term impact of COVID-19 remains highly uncertain, we are confident to provide strong Q3 guidance and also significantly raise our full year guidance. The strength of our existing cohorts and the confidence of these cohorts sustaining at an elevated level of spending, sets a strong baseline for our guidance. In addition, we expect the attractive window of investing in performance marketing to remain open and we expect to continue investing with high efficiency. We also expect to invest aggressively in product and marketing to drive long-term initiatives as I mentioned before. With all of that in mind, we expect Q3 revenue to be in the range of $48.0 to $49.0 million, representing year over year growth of 72% to 76%. Adjusted EBITDA for Q3 is expected to be $2.0 to $3.0 million, representing 5.2% of revenue at midpoint. We are raising full year revenue guidance to $177.5 to $179.5 million, or 66% to 68% year over year growth, up from prior guidance of $145.5 to $147.5 million or 36% - 38% year over year growth. We are increasing full year EBITDA guidance to positive $4.5 to $6.5 million, up from prior guidance of negative $9 to negative $7 million. With that, I will now turn the call over to the operator for questions. Operator? 
Operator: [Operator Instructions] And the first question will come from Doug Anmuth with JPMorgan. Please go ahead.
Doug Anmuth: A couple of questions, firstly, just hoping to talk more about the strategy to go up-market on the Fiverr business. Just curious more kind of the target size of businesses that you're focused on and some of the key investments that might be required there and then if you could just talk about how the agencies bid and the importance there on the distribution side And then just second maybe to Ofer. You talked about leaning in on higher LTV buyers, hope if you could you give us some more color just around - recent active buyer behavior versus existing cohorts and how you expect that to play out going forward? Thanks.
Micha Kaufman: So thanks for the question. The first one in terms of going up market. So it is important to understand that as you look at the diversity of our customers, we have customers ranging from software ones and micro businesses up to small, medium, and large businesses. Now as you go higher into the larger businesses or medium-size businesses, oftentimes these businesses interact is having multiple accounts, sometimes is complete teams that interact on the platform, and what we realized was that in order to maximize the potential of their usage, we need to accommodate by building a more advanced product that will allow them to have team accounts that will have some benefits of being able to share their trusted sellers between themselves as a team and work on projects together. And obviously things like having account permissions and having a paid source with permissions of purchasing, these are all functionalities that we wanted to add into the product and these are the types of features that we're now releasing in beta, and will officially release later into the quarter, in September. So essentially, these are the types of functions and we think that it's important to facilitate the natural movement up market that we have been seeing in for many quarters. Now, the part of the or the agencies are playing here is, and again when you look at the diversity of our supply, not all of our sellers are individuals, some of them are boutique shops or studios or agencies and we would like to ensure that agencies can operate on the platform in a very efficient manner and again these are often times multiple accounts that are operating and need to work on a specific project. And so we decided to invest in that because this allows us to tackle more complex types of projects and also deal with load of work that that oftentimes is easier for an agency to deal with. So around that we have acquired a small boutique agency and we are going to use the learnings from that agency and incorporate them into the types of features that we would like to bake into the agency accounts on the platform.
Ofer Katz: Leaning into performance marketing and higher lifetime value, what we have experienced during Q2 is a windows of opportunity for us to double down on performance marketing, investing approximately partially in dollar about Q1, while keeping even improving the TOI which end up to be more than 1X return on investment for the quarter. Now this is driven by syndicate of factor. I think I will start by saying that the organic factor as being that is chunks over the quarter, it happen soon after the outbreak of the COVID at the end of the last quarter and continue all the way to July. So that by having continuance [indiscernible] we will able to increase investment while keeping a very efficient cost structure that's one part. The second is that existing total, we're able to increase the spend on the marketplace during the quarter comparing the previous period. So that's what we've seen is that not only that recent cohorts enjoy a high lifetime value, and that existing cohort old cohorts and previous, increase their investment and spend on the marketplace on an average of 10%. So that's we are focused on lifetime value and high lifetime value for long period. We've been able to increase lifetime value by focus on business volume and by product initiatives, and I think that this quarter is not an exception on the contrary, I think that the fact that possible [indiscernible] experienced triple-digit growth enable us to increase the overall expense per buyer, all the way to $184, 18% growth even - and this is coming despite the fact of record breaking number of up to new buyers. And bear in mind that when we see record breaking number of new buyers that are active in the marketplace for considerably short period of three months, while the spend per buyer has been calculated on close month period, so that's kind of indication for the trend we see a lifetime value and listing to new cohort.
Operator: And the next question will come from Ron Josey with JMP Securities. Please go ahead.
Ron Josey: I had two really quickly, just on categories, pretty amazing quarter across buyers and the strength across some of the categories you talked about e-commerce tripling and gaming, up 9X. Can you talk about the supply side, particularly from a freelancer perspective as brand improves, but also as demand goes up and what you're doing to just - if you need to amp up the supply side on freelancers. And then second question just on promoted listings. I know the plan is always been relatively slow rollout of the product, you're now in 15 categories two ad slots, can you just talk a little bit more about the rollout plans here what you've learned since the April launch and maybe what percentage of the freelancers actually qualify to actually have promoted gigs. And lastly Ofer that's included in guidance now, or we're still in the testing phase. Thanks, guys, great quarter.
Ofer Katz: So for the first question in terms of supply, so we are seeing elevated levels of supply coming in and obviously, we are investing a lot in making sure that supply enjoys access to our demand. In terms of categories indeed anything related to taking businesses online websites, e-commerce development, website development, social media marketing, content creation and so forth, I've seen tremendous growth. Actually, the largest was programming, that grew triple-digit, but that said all of our verticals without exception grew between very high double digits to triple digits. So we've seen that growth across the board. In terms of promoted gigs, it is scaling as planned, we did say that. I mean, I think just a few months ago, we were just launching it in 5 categories. It's now up in 15 we've extended the areas in which we put promoted gigs in. We've increased the number of slots and we've opened it up to more sellers. But we are doing it gradually and we've explained that the reason for doing that is very important as you launch such a product that both the relevancy of those promoted gigs and the quality of those gigs are going to be very high. And indeed, seeing that these numbers actually follow these guidelines for the first five categories we started increasing that across other categories. We're not giving the exact we're not providing the exact percentage of sellers that can qualify to it. But the guidelines for which services are exposed or can qualify are outlined in our website and we're going to be happy to share that with you after the call. But essentially, we are extending it, it's not just the amount of categories in the amount of sellers. It's the placements within the website. It is adding opening an add engine in an e-commerce website is very complex. And it's a task that we need to do carefully, but we are expanding as planned and we will continue providing more color on that in the upcoming calls, it is going as planned and it is being expanded as we speak.
Operator: And the next question is from Brad Erickson with Needham & Company. Please go ahead.
Brad Erickson: Just a couple so on the - market initiatives I guess a couple of questions there. One know that, beta is just rolling out or it sounds like the beta just rolling out based on your commentary. But just curious what you kind of expect to find and definitely curious if there's any sort of view that you can sort of aggregate demand with that product versus the some of the parts or is that too ambitious? And second, is it fair to assume that the up-market initiatives and sort of a halo effect that you can drive here cannot serve as an additional organic customer acquisition tool that might be a tailwind for you here as you roll it out later this call any thoughts there?.Thanks.
Micha Kaufman: Thanks for the questions. So as we think about these larger types of customers. Obviously, this allows us to cater to customers that have a much larger wallet. And we want to make sure that we gain a larger wallet share. And so, by opening up these features that allows these businesses to actually invite [indiscernible] to use the platform in a way that integrate with their workflows is extremely important in making sure that we optimize for this experience. And so we definitely think that this would allow us to capture more of these business activity as they work with freelancers and naturally even more now when the awareness is elevated to the opportunity of working with freelancers and definitely working with them online to the efficiency of overall market base. Now as a reminder Fiverr does not have a sales force. And we don't intend to put one in place anytime soon. So as we think about onboarding more of these types of customers. What we're doing right now is optimizing the funnels the onboarding funnels that would allow us to use our existing marketing methods that are combination of brand marketing and performance marketing to onboard these types of customers into the platform very efficiently without having a sales cycle involved. So, we're very excited about that because we think that this has tremendous opportunity, not to say that we are anywhere near consuming the small side business opportunity worldwide. We feel that we're just starting and what we're seeing with the growth that we've been able to demonstrate this quarter, is that the road ahead or the opportunity ahead to capture more of that market is huge. But we think that as we do that, it's important that we also tackle that slightly larger types of businesses and make sure that we build the right products for them to efficiently interact with our marketplace.
Operator: [Operator Instructions] The next question will come from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: I'll ask about take rates trailing problem take rates were down quarter-to-quarter. Just maybe expand upon that how you’re thinking about that was there any impacts kind of one-time impacts that could have brought that down sequentially. And how you [indiscernible] and forward. And then a second follow-up gross margin has improved to 84% is this rate sustainable or more one-time in nature. Thanks.
Micha Kaufman: Good morning, Jason. Thanks for the question. So you're right to point take rate, if you look quarter-after-quarter have been going down for from 27 to 0.127. So it's a very, very small decrease and we've actually explained that in our letter to shareholders. The reason why it is decreasing as a reminder, the way take rate is being built is we have the core business. The transactional business that represent 25% out of 27% and the rest are added value products and services. The reality is that the core business has grown slightly faster, slightly higher than the added value services. So if our core business has grown by 80% plus the added value services have grown in the high 70s percent so if you combine that together you lose that 0.1% and we've explained that type of fluctuation, especially in months. When there is such - in quarters where there is such a tremendous growth in the core business might happen. If you think how to model this going forward, we don't expect this to go down. The same trends that you've seen throughout the quarters as the company has gone public, is going to remain in the same trend. We don't expect it to go down.
Ofer Katz: And then on the second part of the question on the gross margin, I think that 84% gross margin is a higher accrual for us and it is substantial about - yet to be said. We enjoy a very strong quarter and we are investing further in recruitment of team to support and to invest in future initiatives we don't expect the gross margin to stay at 84% in the long run. We did mention in the past that we feel very comfortable most of 80%. But we do expect the 84% at the time a little bit in the next 12 months or so.
Operator: Our next question will then come from Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Again going back to Ron’s and just think out over maybe a longer-term horizon. How should we think about the possibility to scale and grow the marketing side of the platform, so that sellers are getting the distribution they want. You’re dealing increased unit economics from sellers as they work to promote themselves more and drive more conversion on the platform? What tools still need to be invested in against your longer-term goals for that part of the business? And is there sort of a long-term goal we should be thinking about either in terms of what you think you could grow that part of the business into or how much you could amplify margin contribution over the medium to long-term? Thanks so much guys.
Micha Kaufman: Thank you. I think that what we've demonstrated in the past few quarters is that wherever we see an opportunity to scale up our marketing efforts. We are capturing that opportunity. And we do it in a very efficient manner while also improving the overall efficiency of marketing as a percentage of our revenue. But we have scaled up our marketing significantly, and we've done it in many ways from our working brand marketing to our work on the affiliation front, what we do with influencer marketing and social marketing to performance marketing on many channels. In side-by-side with that, we are providing our sellers with the ability to promote themselves within the platform and outside of the platform to ensure that they maximize the exposure that they receive. On top of that, what we are doing on the supply side is developing tools that allow sellers to get enough exposure to up the flywheel effect of supply and demand kick in, and these are areas where we invest a lot, we do that by providing the right algorithms for that, and by providing the right vertical structure of our catalog to ensure that our sellers have the right area, the right category in which they compete for our buyers demand.
Operator: And your last question will come from Nat Schindler with Bank of America. Please go ahead.
Nat Schindler: I'll be redundant and say, great quarter because that's pretty obvious, but can you talk a little bit about what you saw in the change in seller cohorts or if there has been any. Specifically, has there been a change in the dynamic whether not sellers are people with other jobs that happened to be working at home and doing excess time that they I don’t know it might have been commuting with gigs on fiber or they just more people because people are not able to work?
Micha Kaufman: So we're definitely seeing a mixture of everything. I think that as lockdown actually change you see change in those trends as well. In the same goes with unemployment. I think that what we're seeing is a mixture of obviously the same types of cohorts that we used to get on the supply side, accompanied by people that either lost their jobs or just as you said, spending more time at home and thinking about what to do with their time or their career. The quality of the supply that we're seeing is definitely elevated. We started speaking about that in the previous earnings, and we mentioned that in those levels are keeping the same into Q2 and as far as we can see into the current quarter as well. So we are definitely seeing more qualified sellers that we believe freelancers - that we believe used to do most of their work offline by meeting clients in person and because of the limitations right now are getting more open to the options of doing things online. And I think they love it. They find it to be extremely efficient, they can do it from the comfort of ever they are, and they can do work on much higher scale because of the efficiency that the market base introduces. So we're definitely happy that the point that we always made about the fact that the majority freelancing is happening offline is starting to get a different trend – as change in trends. And we're very happy that were there to capture that opportunity.
Nat Schindler: And just going off on that point. Is – are some of these kind of more professional freelancers and agency groups that are using it. Are they pushing back at all? I mean the earlier example of maybe a graphic designer in Eastern Europe getting a customer in New York City, that person does not care what the take rate is, because that new business, but these professional agency types that are using the business now, are they have been any pushback on the 25%?
Micha Kaufman: Yes. So, not as far as we can see right now and I think what is really interesting here is the fact that the more sophisticated they become, if you look at agencies. Agencies appreciate how hard it is to source client. They appreciate how hard it is to do the technicalities that have to do with the work that have nothing to do with the work itself, and because of that I think that by onboarding Fiverr they understand the benefits of just sitting there and waiting for us to bring them the customers, qualified customers that already paid, so they understand that. So we're not getting any push back
Nat Schindler: Great. Thank you. I didn't mean to be flippant about how great your quarter was, it really was great.
Micha Kaufman: Thank you so much. We appreciate that.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. And thus concludes today's call. Thank you for joining Fiverr second quarter fiscal 2020 earnings call. You may now disconnect your lines. Thank you.